Operator: Good day, and thank you for standing by. Welcome to the Quarter Three 2021 Financial Results and Company Update. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] And please be advised that today's conference is being recorded. [Operator Instructions] I would like to hand the conference over to your speaker today, Mr. Justin Forbes, Director of Marketing and Investor Relations. Sir, you may begin.
Justin Forbes: Thank you. Good afternoon, and welcome to Flux Power's Financial Results Call. I'm Justin Forbes, Director of Marketing and Investor Relations for Flux Power. Ron Dutt, CEO; and Chuck Scheiwe, CFO, will present results of our operations for our third quarter of fiscal year 2021 ended March 31. I'll now read our safe harbor statement. Our discussions may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind, we are not obligating ourselves to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. Throughout today's discussion will tend to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q for a more complete discussion of these factors and other risks particularly under the heading Risk Factors. A copy of our press release and financial tables can be viewed and downloaded on the Flux Power Investor Relations website at fluxpowerlcom/investors. And with that, I will now turn it over to Ron Dutt.
Ron Dutt: Good afternoon, and thanks, Justin, for the introduction. As we complete a full year of COVID-19, as of the quarter ended March 31, and amidst the ongoing impacts of the COVID-19 pandemic, we're pleased to announce our 11th consecutive quarter of year-over-year revenue growth. Revenue momentum continues from our current customers since they buy new forklifts with Flux Power, lithium-ion battery packs our new customer acquisition efforts are making good progress, reflecting the growing awareness and trend of PMI on value proposition and adoption, lower life cycle costs, higher operational productivity from longer run times and the environmental impact of saving tons of carbon dioxide versus lead acid or propane power sources. The fiscal year '21 Q3 revenue increased by 38% to a record $7.0 million compared to $5.1 million for the same quarter last year. This quarterly increase continues our trajectory of 11 consecutive quarters of year-over-year revenue increases, reflecting our piecing of increased penetration of both current customers and the addition of new customers. The ground support equipment sector is reengaging as air travel is recovering. We have received new orders and further indications of increased activity from one of our customers who is a leading global airline. We launched our next-generation M24 lithium-ion battery pack for the high-volume in rider and center writer forklift category with initial orders and strong interest from customers. This new battery pack incorporates innovative features and advanced design to meet the demands of large fleets. At work here is our -- as our past eight years of pioneering lithium-ion battery packs for industrial and commercial applications. As I have mentioned in the past, our strategy has been to develop what we call natural product extensions that can be produced on our assembly lines to help us meet one of our objectives, building scale. These natural product extensions typically require modest design efforts of our modular pack designs. We have confidence in our capability and prior success and working with our OEMs and customers to fit our energy story systems for applications to deliver transformational improvements cost, productivity in the environment. Our goal is to be the provider of choice for large fleets, which requires building full capability and scale. Our experience providing packs to being global this past year for their mobile EV charging strength stations has strengthened our capabilities, and we are also evaluating other sectors. Such as robotic equipment and stationary power for applications of our battery packs. We continue to acquire new customers. And as mentioned in a prior press release, we received orders for two large customers, a global packaging company in a paper and chemicals manufacturer. Now turning to gross margins. We have a high priority to expanding gross margin and an increase from 12.8% in Q3 fiscal year '20 to 24.1% this past quarter Q3 fiscal year '21. This improvement in gross margins reflects our ongoing efforts this fiscal year to improve vendor pricing through our growth and our implementation of design improvements. We have over 9,000 battery packs in the field, which has provided a broad range of both technical and customer-driven experience. Our strategy has always been to maintain the core competency of our technology, quality and service. In fact, not only core competency, that we aim to be the leader in technology, quality and service. As currently highlighted in the media, supply chain challenges are widespread, as we all know, and they impact us as well. We are closely monitoring the sourcing of parts, such as lithium cells steel parts and electric components, including circuit boards. And shipping times have improved over the quarter, but there remains more to go to return to normalcy. And shipping costs have increased as well during the COVID period, reflecting stress on logistics resources and infrastructure. Now a comment about the COVID-19 pandemic. As widely reported, restrictions arising from the COVID-19 pandemic continue to recede, although the effects of the past year do linger stemming from customer caution, labor shortages and supply chain challenges. We have observed some customers exercising caution on ordering patterns but the current economic recovery is showing positive signs. And we continue to address procurement and production challenges, which, by the way, does drive assessment and improvements to our processes. I will now hand it over to Chuck Scheiwe, our CFO, to provide an update on our financials and our capital structure, including improvements to our balance sheet achieved during the quarter. Chuck?
Chuck Scheiwe: Thank you, Ron. Our operating expenses increased to $3.1 million during Q3 '21 from $2.6 million in Q3 '20, that's primarily due to increases in personnel to support growth, significant increase insurance payment [indiscernible] and higher freight expenses that Ron mentioned. Our R&D expenses remained unchanged during the quarter compared with the year ago. And our net loss for the quarter decreased to $1.7 million from a loss of $4 million in Q3 '20, this is reflecting increased gross margin. We had other income due to the PP loan forgiveness and decreased interest expense. We made further progress in strengthening our balance sheet during the quarter converting all of our remaining short-term line of credit debt of $2.4 million to equity. And with the PPP loans forgiveness, we now carry no debt at all. We did raise $1.7 million under the ATM in the aftermarket facility during the quarter, giving us a cash balance of $2.4 million at March 31st quarter end. Our $4 million line of credit with Silicon Valley Bank provide working capital remains unutilized and available to support growth. The borrowing availability on the credit line is tied to Flux Power's outstanding accounts receivable and on hand inventory. To add Ron's mentioned progress with our gross margin initiative, including the current quarter reported at 24.1%, we do believe continued implementation of our cost improvements, supporting higher gross margins, along with our revenue trajectory will drive us to our goal becoming cash flow breakeven. Now I'll turn it back to Ron.
Ron Dutt: Thanks, Chuck. To conclude our remarks, I'd like to mention that we are optimistic on the future of the economy our business sector and our own momentum. It's still early in our trajectory to give guidance in the current COVID driven environment and adds its own complexity. But we are excited by our customers' response to the value proposition of our packs to their business. And that's not to mention the typical tons of carbon dioxide, they'd say, versus alternative energy sources. We believe our cost savings proposition, productivity enablers and positive environmental impact, all provide transformational changes to take fleets to the next level, and that concludes our prepared remarks. Now I will turn it over to any questions.
Operator: [Operator Instructions] First question comes from the line of Carl Williams. Your line is open.
Unidentified Analyst: I was just wondering, I heard you guys are doing -- or the Company was doing some bidding with Amazon. And I just wondered if that was any thing public, you could share or not, and the status of that.
Ron Dutt: Yes. Thanks, Carl, for the question. We get that one every once in a while, Amazon being so on we can't disclose anything publicly on that. I will say what's -- I believe, publicly available information, they announced plans to spend a ton of money on electrification and reducing carbon footprint. And in fact, we have had discussions with them. And understand that they have quite a wide assortment of facilities, including new green facilities and existing facilities and of course, as they've said, analysts have reported, they do have fuel cell facilities that they are that they install in their new greenfield facilities. And we understand they're very interested in lithium as well. So I think they're going down that path at their own speed and priorities. And -- but we're very interested, have great, great discussions with them. But nothing to announce, and I don't expect there will be anything in the imminent future.
Operator: [Operator Instructions] Your next question comes from the line of Joe Smith. Your line is open.
Unidentified Analyst: I thought it was a very impressive quarter on an independent shareholder. My understanding is you've got extensive capacity in your existing facilities to grow in addition to just growing your own internal product lines. Is that the ability to partner with other folks to build for them if they need additional capacity? And then I guess it ways into a broader question of strategic partnerships and potential M&A type activity and whether that's something that you ever considered into or approved with?
Ron Dutt: Yes. Thanks for the question. Yes, we've mentioned in the past, our facility, we estimate we could do probably $100 million annually of revenue here. And of course, we're still ways from that. We do -- we are growing very rapidly and certainly hope to continue that. I'd say a couple of things, a couple of remarks for you. We don't have any plans to build products for other companies to get some kind of production revenue from them. We are fully engaged here with our plans. As we've reported, we entered a partnership with being global last year as their exclusive lithium provider. They're a rapidly growing company. Our current thinking is those kinds of partnerships are working well to our pacing and strategy and trajectory, particularly with natural product extensions. We build product here for that. We are currently looking at some other such type partnerships right now, nothing to announce at this point. But I think to kind of state the obvious, that makes a lot of sense for us to continue to grow. We, of course, in this industry, fully expect with the rapid growth that there to be consolidation, M&A strategic activity. And we, of course, certainly have an eye on that. I've done a dozen or so acquisitions in the past and very sensitive to what can work and what can't. So I think we'll certainly be judicious in anything that we would do. And -- but I think for now that, that would probably be a second step to partnerships, just in terms of how we currently think about it. But the industry is moving fast, and things can happen pretty quickly. So our -- we're in the -- in our financial planning process right now. And considering all those matters, positioning, what we have to do to grow. And as we said, we want to be a leader for large fleets. So that certainly does not mean not growing. So looking at all that seriously.
Operator: There are no further questions at this time. Presenters may continue.
Ron Dutt: Okay. I understand there are no more questions. So with that, I'd like to thank everybody for listening. Appreciate your interest. Look forward to continued communication, including not only these calls, but our website and new sellers. We send out that people are interested, please get in touch with us. We believe and we see a very exciting future here for us and look forward to it. So with that, I'll close it off and thank you for your time and attention today.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.